Dominic Blakemore: Good morning. And thank you for joining us. Before I begin, I wanted to welcome Karen who started just over a month ago. She'll be around after the presentation, and you'll hear from her the full year results in November. So moving on to the presentation. I'll begin with a few highlights on the half, and then Palmer, as you know, who's been Interim CFO for the period, will take you through the financials. Following that, I'll go through a more detailed review of our operating performance and our strategy going forward, and there will be plenty of time for questions and answers at the end. I'm pleased to report that Compass had a strong half. We delivered very strong organic revenue growth of 6.6%, and our operating profit increased by £52 million. Margin was consistent with last year at 7.5%. In the first half, the business continues to be very cash generative with free cash flow of £530 million. EPS on a constant currency basis was up by a 6.5%, and we're increasing the interim dividend by the same amount. The business is trading well, and we now raised our organic revenue growth guidance for the full year and expect to deliver organic growth and margin progression similar to last year. And on that positive note, I'd like to hand over to Palmer.
Palmer Brown: Thanks, Dominic. Let's start by taking a look at revenue. Weaker sterling against our other trading currencies had a positive impact of £240 million on 2018 [ph] first half revenues. North America grew by 7.9% with continued good levels of net new business across all sectors. Like-for-like revenue benefited from pricing and a number of events in our Sports & Leisure sectors. Europe grew by 5.5% due to double-digit growth in the U.K. mostly attributable to the defense contract wins and ongoing good growth in Continental Europe. Rest of World grew by 3.2%. Excluding the drag from Offshore and Remote, growth was 5%. We saw strong performances in markets such as Turkey, Kazakhstan, India and Spanish-speaking Lat Am countries. As a result of these movements, group organic revenue growth grew by 6.6% in the first half. Turning to profit. After adjusting for FX, the 2018 operating profit was £899 million. Growth in operating profit was £52 million, a 5.8% increase for the group. In North America, operating profit increased by £57 million, and margin remained high at 8.6%, with our continued focus on pricing and efficiencies offsetting inflationary headwinds, most notably labor. In Europe, high levels of new business mobilization and weaker volumes were partially offset by some benefits from pricing and our actions managing the portfolio. For the half, profit in Europe was down £5 million, with margins diluted by 30 basis points. Profit in the Rest of World was up £5 million, and margin at 6.7%, consistent with the increased level reported in 2018. Pricing, combined with effective leverage of overheads has offset inflation in the region. Consistent with the second half last year, we have increased the investment in central overheads to support our strategic execution. We now expect full year central overheads to be around £80 million. The mixed benefit of higher margins in North America offset our Europe and Rest of World regions, so overall, group margin was 7.5%, in line with last year. This performance is consistent with the Compass model, a very high level of revenue growth, similar margin. Looking ahead to the full year and in line with our new guidance, we expect growth and margin progression at similar levels to last year. Looking further down the income statement. Net finance costs were in line with first half last year at £55 million, and we continue to expect around £120 million for the full year. Our tax rate was around 23.5% in the first half, and this currently reflects our expectation for the full year. Constant currency EPS grew by 6.5%, broadly reflecting the growth in operating profit. In line with our policy, we are proposing to increase the half year dividend by the same amount. Moving on to cash flow. Depreciation and amortization increased slightly to £289 million in absolute terms and remain consistent as a percentage of revenue. Gross capital expenditure was 3.3% of revenue. Our guidance for the four year [ph] is unchanged, and we expect to spend up to 3.5% on CapEx as we use it as a tool to support our strong growth rates and deliver attractive returns. Working capital was an £83 million outflow mainly due to the seasonal profile of the business. For the full year, we continue to expect working capital to be a typical small outflow of between £25 million and £50 million. Operating cash conversion was at healthy 78%, consistent with last year. On to free cash flow. Movements are consistent with prior year. The cash tax rate was around 17%, reflecting the usual timing differences in the first half and, at present for the full year, we continue to expect the rate to be between 20% and 22%. Free cash flow conversion was 56%, within our target range of 55% to 60%. Looking at net debt. Again, starting at the left of the chart. Opening net debt was £3.4 billion, and the business generated cash of £925 million before net CapEx of £395 million. We invested £302 million in net M&A consisting of £370 million on acquisitions mainly in North America and £68 million of net proceeds from the disposal program. £403 million was returned to shareholders in the form of ordinary dividends. And so on March 31, net debt-to-EBITDA was around 1.5 times, in line with our leverage target. The work we started last year in managing our portfolio and focusing on food in countries with scale continued during the first half. We are making good progress with the disposal program. Deals completed during the half include BSG, our security business in the U.K. and the sale of our South African and Egyptian businesses. Cumulatively, we have now sold or exited around 2% of revenues with a margin of 3%. We have received approximately £100 million of net proceeds overall, and we booked a £12 million net gain on the sale and closure of businesses disposed during the half. I've summarized on this slide the disposals and exits that completed so far so you can update your models accordingly. Just a quick recap on our capital allocation priorities. We always focus on investing in the business, and this is through both CapEx and complementary M&A. During the half, our CapEx was 3.3% of revenue as we continued to invest in the good opportunities we see in the business. As you've just seen, in the first half, we invested £370 million on M&A., and there remains a healthy pipeline of opportunities available to us. We remain committed to our leverage target of 1.5 times, and we'll update the market at the full year taking into account the timing of any acquisitions or disposals. And so in conclusion, we're very pleased with first half. The business performed very well, and we continue to grow organic revenue strongly, have industry-leading margins, invest in the business and grow dividends in line with constant currency EPS, all creating significant and sustainable shareholder value. Now over to Dominic.
Dominic Blakemore: Thanks, Palmer, and I think you'd agree, a good set of results. I'm really pleased with our organic revenue growth in the first half. We continue to see good new business wins across the group with no changes in the sources of this growth. Retention remains strong at 95%, and our like-for-like revenues reflect pricing and volume growth helped by the Sports & Leisure calendar and the timing of Easter. Now I'd like to look at the regions - the performance of each of the regions in turn. We had another excellent half year in North America. Revenues were up 7.9% with broad-based balanced growth across all sectors. And again, the sources of our new business wins remain broadly consistent, with approximately 40% coming from first-time outsourcing and the remainder split between the large global players and local competitors. Our margins remain high at 6 - at 8.6%, and our profits grew 9.4%. We continue to make progress in identifying efficiencies and passing through pricing to offset labor inflation. We also acquired several attractive bolt-ons which will further strengthen our business. In Europe, I'm pleased to say it's a more balanced picture today than it has been in recent years. 18 out of our 22 countries were in growth. The U.K. delivered double-digit growth, and that performance was driven by good new business wins in all sectors, but most notably, the defense contracts and the benefits of the expansion of Twickenham we mentioned at quarter one. On the continent, the good performance seen in the second half of 2018 has continued, and the region grew 2.4% in the first half. In particular, our Nordics and Benelux businesses did well, and trends in retention across the region have been improving over the last 12 months. It should be noted that we now lacking the exceptional growth we've seen in the U.K., and so we expect the half two growth for Europe will moderate. Our profits in Europe declined by 2.5%. As we expected, mobilization costs were higher given this very strong new business growth, and these particular contracts are between five and 20 years in duration, so they'll make a contribution to Europe margin as they mature. We've continue to make it progress with efficiencies and pricing to offset inflation and to mitigate some of the volume weakness we continue to see in the U.K. and in certain other European markets. The margin performance was also partially offset by the benefits of our portfolio management. Performance in the Rest of World continues to improve. Organic revenue growth was 3.2%. Excluding our Offshore & Remote sector, Rest of World grew by 5%. That improvement was driven by developing markets like Turkey, India and Spanish-speaking Latin America. Our Offshore & Remote business remains a drag, but that headwind is reducing, in particular, as we near the end of the construction to production transition in Australia, and we've also benefited from the ramp-up of volumes we've seen in Kazakhstan. Margins remained constant at 6.7% as we continue to drive efficiencies throughout the region. So moving now onto strategy. I'd like to update you on our priorities to drive our performance in the future. But first, it's worth reminding ourselves what a strong business we are today. Over the years, we've built significant competitive advantages. These advantages allow us to exploit the structural growth opportunity in our industry. We're the global leader with just a 10% market share. We're incredibly proud of our leadership position, but we're not complacent. We're putting an intense focus on maintaining that leadership position and capitalizing on the attractive future growth opportunities. As you know, the foodservice market is evolving. We see trends ranging from organic and locally sourced produce to health and wellness and topically, the desire for convenience. We have been evolving, and we'll continue to evolve with this changing environment. These changes in the market are important, but so far, we haven't yet seen any significant impact from one particular trend. And in fact, as is often the way, we think they offer us fantastic opportunities. Our global scale allows us to identify these market changes and to innovate accordingly. But I'd like to show you how we're doing that. We have a number of teams focused on innovation. We've already created the Envision Group. They're a team of experts in North America who identify and respond to emerging trends, test various programs and, if successful, roll them out across region. We also realize the importance of technological and digital change. Compass Digital Labs, or CDL, drives our tech developments in North America, as well as innovating on core programs such as the cashier-less concepts. They're also piloting new technologies. And then there's E15, which is our team of data scientists who are predicting trends and helping to develop solutions to fit the needs of our clients and consumers across all of our sectors. But our focus on innovation isn't only in North America. Digital innovations are being adopted in a number of our countries. These innovations are usually implemented locally in the most cost-effective and relevant way for each market, but we're also making the right investments into people, systems and processes. Our goal is to make sure we capture the opportunities across the business in the longer term. We'll do that by executing on our strategy. You will recognize our three strategic priorities of Performance, People and Purpose. I believe that being in business with a dedicated and motivated workforce and a clear social purpose will lead to higher quality, more sustainable growth over the longer term. So let's have a look at performance first. Our Management and Performance, or MAP framework remains a foundation of Compass' performance. You'll recognize our key areas of focus. We refer to them internally as our three little piece, pricing, purchasing and productivity. I'm really pleased at the progress we're making at codifying and sharing these best practices across the group. And we're now adopting a more proactive approach to identifying and investing in products and services in particular to enhance the consumer experience. And increasingly, these initiatives are supported through digital and technology to either drive revenues in MAPs one and two or to deliver efficiencies and MAPs three, four and five. So I'll give you examples of where technology is supporting our delivery of efficiencies or contributing to growth. A priority for us is cashier-less and cashless payment options. We already used about 13,000 of these solutions across the group. This technology provides a better consumer experience by improving speed of service and also by driving efficiencies and reducing the risk from cash handling. And some other countries are taking the lead in developing next-generation tools. For example, in France, we started using the Smart Checkout. This award-winning concept uses camera-based technology and artificial intelligence to recognize the precise dishes on the tray, map them to the EPOS system and price them for the consumer. Smart Checkout also has the potential to increase consumer sales by promoting complementary products such as beverages or desserts, tailored to the individual consumers' buying habits. These types of developments are also really attractive to a lot of our clients, supporting retention and driving new business wins. I mentioned earlier the consumer demand for convenience. Unattended markets, in particular are exploding in popularity, and have opened up new opportunities for Compass to serve consumers we previously couldn't access. Some of our vending markets charge the consumer's card or app directly by recognizing which products have been removed using self-weighing technology. These 24/7 concepts offer more variety and convenience to the end consumer while being cost-effective for us. In the U.S., Canteen, our vending business, is one of the fastest-growing subsegments in the North American division, and we're also exploring the potential for other markets. Continuing on the theme of consumer convenience and quality experience, we developed a range of mobile apps across the group. For example, again in North America, we have the Thrive app and B&I, boost in higher Ed and Nourish in health care. They all provide flexible pickup times, location recommendations, payment options or a place to keep an eye on new calorie intake so you can preorder, prepay and collect. Overall, we currently use these three platforms across over 200 sites in North America with nearly 120,000 users. In France, we have FOODI, which is well providing payment management options, can deliver personalized recommendations, organize event catering or offer a meal to take home after work. FOODI is currently used across a 100 restaurants, with plans to roll it out across another 350 sites in France. And finally, we have Foodbook, which is used by our top five clients in India. It's been in place now for almost three years and is used across 110 restaurants by more than 75,000 consumers with 90,000 daily transactions. Foodbook offers a variety of channels such as the mobile app, web and self-service kiosks along with different payment options. These options again allow us to deliver an excellent consumer experience and they also provide us with valuable data. We're also adopting technology in digital to enhance our labor productivity. We're redesigning our workforce management processes using more dynamic tools. These tools allow for better data at the unit level, better benchmarking across sectors and more consistency in our performance. We're increasingly using digital recruitment tools that allows to advertise roles, interview candidates and onboard people much more quickly and cost-effectively. We think digital tools are also better for our people, providing them with the flexibility to take on additional shifts or to better manage their own personal schedules. And lastly, we have a smartphone app, which makes communication a knowledge-sharing with our consumer facing employees easier. By increasing staff engagement, education, collaboration and of course, recognition, we can drive consumer sales and increase productivity. Turning onto our second strategic priority, our people. Our people are critical to us. We now employ 600,000 people worldwide. We're developing career paths and providing flexibility for people who want to work in different jobs across different sectors, functions or even countries, helping them build careers and not just jobs. This approach really helps to improve employee retention. Our business has exceptional leaders. Two third of our leadership team are now internally appointed. That gives us the benefit of real continuity and a quicker transfer of knowledge around our business. And finally, we're proud of our gender diversity. We now have 36% female representation on both the group Board and on the Executive Committee, and our female representation in senior leadership is 30%. And we recognize we still have a lot more to do on diversity more generally. A lot of our efforts into launching the people strategy is focused on the Unit Manager. Our Unit Managers are absolutely critical to the success of our business. They set the tone for the unit, hire people, buy food and responsible for health and safety and deal with hundreds of daily operational issues. We want to make a unit manager's life easier by reducing their administrative burden. That way, they can focus more on our clients, our consumers and our own employees. After completing successful pilots in our two largest markets, we're now rolling out the development programs to all of our unit managers globally. That's 40,000 people in over 40 countries. And lastly, the third pillar of our strategy, Purpose. Every business has a social impact, and we believe that leading with purpose is the way to fulfill the true potential of our organization. Over the last few months, we've been focusing on our three strategic pillars of health and well-being, environmental game changers and better for the world. All three pillars are underpinned by a safety culture, one for caring for our people, our consumers and our communities. In the health and well-being, for example, we're making real progress with initiatives around mental health with our remote workforce in countries such as Australia. And under environmental game changers, we're making real progress again on food waste. Three years ago, Compass USA launched Stop Food Waste Day. This year on the 24th of April, thousands of Compass employees participated across 37 countries. We aim to raise awareness of the global issue of food waste amongst our employees, clients and broader society. On that day, we were able to touch over 100 million people through social media about this issue. But it isn't just about awareness, and we continue to explore the most effective and practical ways to measure waste through various food waste management systems. Here in the U.K., we're trialing technology which will allow us to more accurately record and therefore, reduce our waste. We're making good progress, but again, we know there's further to go. So I'm really happy with our 3P strategies progressing. We're investing in the business for the future. We're building on our competitive advantages and that will allow us to capitalize on the structural growth opportunity we have in our industry. And I believe our strategy will ensure that we deliver better quality, sustainable, long-term growth. So to conclude. The Compass business is in very good shape. I'm pleased with our first half performance which delivered very strong growth in a consistent margin. Implementation of our 3P strategy is progressing well and our financial model remains unchanged. For the full year, we now expect to deliver performance similar to 2018, with organic growth above the middle of our 4% to 6% range and modest margin improvement. Palmer and I are now happy to take your questions. Thank you.
Q - Jarrod Castle: Thank you. It's Jarrod Castle from UBS. Three, if I may. Firstly, I mean, I guess there's an implication that there's a bit of a slowdown in 2H compared to the good performance in 1H. So is this just geopolitics and comps? I think you've highlighted Europe. Secondly, just on slide 22, which kind of looks at underlying market of £200 billion. I think you've shown the slide before and kind of seems pretty fixed at about £200 billion is the market growing itself rather than just the opportunity? And then just talking about the apps and take up there, I mean, when you've kind of roll them out, what percent would you say of your clients - what's that take up, I guess, with the market that you're serving in each individual client? Thanks.
Dominic Blakemore: Yeah. I'll take the question on growth. Palmer, you do the market question, and I'll come back on the apps. I mean, first of all starting out to, I think we've seen very, very strong growth in the first half. That's being supported by a little bit of Easter, a little bit of Sports & Leisure calendar and of course, the very strong growth we've seen in the U.K. in the defense sector. So it's probably more like an underlying six. I think we're signaling more like an underlying five in the second half, which is in the middle of our range. I think it's just a froth [ph of some of those bigger deals coming off, but we're still you know, a very strongly positioned within our growth range. Palmer, do you want to do the market?
Palmer Brown: Yes. The market size piece, third point, I think we do think there is ongoing growth both in line with just GDP growth, as well as new businesses that are appearing. So for instance, in North America, we've been the beneficiary of a lot of new businesses that start up out of nowhere and give us the foodservice business there. That's not been reflected in the £200 billion that you've seen before. That's been a nice source of growth for us. So we do think the markets increasing. I think the overall point is that still half the market itself-operated and a large chunk in the hands of small and local player, so that plays right into the secular growth opportunity.
Dominic Blakemore: I'd just add, we've grown with the CAGR 5% with that marketplace looking pretty much the same haven't we? So I think it remains a great, great opportunity and likewise, for the smaller players to grow in too, which we think is exciting. In terms of the take-up of apps, I mean you've heard from me today, you have to remember that we are a very decentralized and differentiated business, and we need to be bespoke for our clients, so there will always be a challenge on how much you can scale these apps consistently. What we're seeking to do is have back office systems or the engines which is sort of 80% consistent and then tailor the front end to our sector and our clients and consumer. There are some challenges in getting them rolled out, but there is lots and lots of opportunity. I think we're very pleasantly surprised with how fast that's happening. I think you've seen the numbers today. I think there's some significant numbers for consumers that are communicating in using the app that we've put out. Jamie, you've already lift the mic.
Jamie Rollo: I have, sorry. Jamie Rollo from Morgan Stanley. Three questions again, please. And first group margins was flat in the first half what were the excluding benefit of the disposals? It looks like that's about 10 basis points annualized benefit. Secondly, on Europe margins. I know you don't want to focus on margins, but first half last year, they were down 80, and some of that weakness was put down to the snow. And this year, you're talking about mobilization costs and there seems to be a bit of a theme here with your two biggest competitors talking about lower margins on their recent contract win. So it is just one-offs such a big contract win in the U.K. or is there something else going on, please? And then finally, the statement talks about selling or exiting 2% of group sales. I'm just wondering is there any of that £500 million revenue was actually contract exits, which is not included in your organic sales number? Thank you.
Palmer Brown: It's fine. Happy to take them. On the margin points, I think there's a large overlap of between the group and the European margins. When you look at it, we have a lot of moving pieces there. We do have the benefit from the M&A activity as you mentioned. That's around 10 basis points. We do have a bit of FX that's at play there as well. On the minus side, we do have some underlying pressure there largely from the mobilization costs. We also have the investment in the central overheads to support the strategic execution that we mentioned. The tune of those was in the realm of five - excuse me, around 10 basis points to the in negative. Just to give you - just to frame the mobilization costs, that pops up in most all contracts, but some are more significant than others. For instance, in the U.K. Hestia [ph] contract wins. Those contracts cover over 220 sites, 1,300 trading outlets, 5,000 employees, 14 million mills annually. That's a significant ramp up for that type of contract. Now that's going to be more on the heavy side, but that gives you a flavor to what's involved in some of these. I would highlight more so on the European front. We are seeing some volume weakness in certain areas. In the U.K. the volume weakness continues. We're seeing certain pockets of Europe, France and Germany mostly - really kicked in and the second quarter. We are keeping an eye on that, so that's a bit of a drag for the European margin as well, but the biggest piece is the mobilization costs. Your point on the sale and exits. Most all of what we're doing is sale. There've been a couple small sites, for instance, laundry locations where we just - we've exited, but it's very small potatoes there.
Dominic Blakemore: I mean, I'd just like to add a couple of comments to that. I think importantly, the growth we've seen in the U.K. and also in Europe is backed by some long-term contracts. So the life of these contracts is between, you heard me say this morning, seven and 20 years. So what we've learned is that over time, we have a great opportunity to build the margin of that business and it's better to be and that business then not even if it has a single cost of mobilization. And that's a clear choice we take, and I think it brings me onto my broader point, which is the growth remains our number one priority. So whilst we see margin opportunities, I think it's really important that we don't sacrifice growth for margin. I think it's implicit in the model that we've communicated to you, but I think we're now be more explicit that we think the best for this business and its long-term health is sustainable organic revenue growth. Vicki?
Vicki Stern: Morning. It's Vicki Stern from Barclays. And just firstly coming back to the volume weakness in Europe. Could you just give a bit more detail on both the U.K. and Europe as to what you think is driving that? Is that macro? Is it short term? Is there anything structural? Are there any obvious segments where you're seeing it more than others? And second question just around some of the investments you talked about. Anything you can do to sort of I suppose size in terms of how much, how big that investment may be, be it OpEx or CapEx? And then I guess the sort of likely return, is it more defensive or offensive on sort of the apps in the cashier-less, et cetera? And then just sticking with that finally, you gave some quite helpful numbers on, I think, slide 29 talking about the roll out of the app. But just sort of globally, I suppose how penetrated are you on some of that key tech? And I suppose, when do you think you'll have reach full penetration across the market where it's relevant? Thanks.
Dominic Blakemore: I'll take the first, and then you can pick on the OpEx and CapEx one. So just in terms of the volume weakness in Europe and specifically we call out to this point, U.K. and France, I think U.K. is a similar thing to the one we first communicated in Q3 of last year. So it's around consumer volume weakness, in particular, sub-sectors of the U.K. business. I think we're seeing it more broadly on the high streets anyway. We're not immune to that, and it can be 5%, 6% negative in absolute volume sort of pre-pricing within certain of our sites. So that is a headwind that we are having to contend with. And as we said, we've taken actions to mitigate. In France, I think we've seen a bit of an impact from the political environment there, particularly over weekends where there have been demonstrations, we've seen lower fall on Fridays and Mondays, which we think is directly correlated. As we go into the second half, wed hope to be lapping some of those negatives in the U.K. and see them lessening, but I think it's fair to call those out, and we've taking the actions that we think are appropriate. In terms of the apps rollout, haven't got a number in terms of penetration. I think what's exciting is just a really long way to go for us here. And I think what's greatest we've shown you today is, it's not just in our - in our most advanced and leading business, the U.S, it's also in France, we've got it in the U.K, we've got it in starter markets, emerging markets like India and Turkey as well. So I think there's a vast opportunity, and we're very thoughtful about how we invest in the center so we can pull the best of what we do and push it out into those markets, which may not have the scale or overhead leverage to be able to develop it for themselves. So we think it's really exciting opportunity and again something that our business model means that we're uniquely placed to benefit from.
Palmer Brown: In terms of the costs relating to the technology and the returns there, there are some costs involved but they're not significant, they're not material. We've been investing in this area for a few years now. You just - you heard Dominic reference a few of the apps or technology that started a couple of years back, a few years or so in India. So that's been happening for a while. It's not material. It is a bit front-end loaded with some R&D deployment is complicated, but it's not significant costs. Another thing to point is that we are partnering with others. So we're taking advantage of their technology, leveraging our scale as a benefit to them, while we get the benefit of their technology. So that has the cost/benefit to us as well. We do see the benefits in a few areas. It's becoming more table stakes, if you will, with respect to consumers. They expect us to have these kind of solutions for them. Clients really like them as well, so it's really helped us in sales and retention. And it's helped with some of our productivity initiative. So it's helped our MAP four area as well. So we do see the benefits across the P&L.
James Ainley: Thanks. It's James Ainley from Citi. Just a couple of follow-ups, please. Could you quantify that volume decline you're seeing in Europe, please? And then maybe contrast it with what you're seeing in terms of volumes in North America? And then secondly, back on European margins, is it fair to assume that those margins rebound in the second half as growth slows as you indicated? And do you think that will be enough to leave the European margin flat year-on-year?
Dominic Blakemore: I'll do in terms of volumes. Look, I think what's important to clarify is that the negative volume impact is within particular sectors and sub-sectors, so it's not broad across all sectors of a particular country. So the numbers I quoted would be, for example, within our parts of our restaurant associates [ph] business, parts of our B&I business in the U.K. and likewise, in France. So the impact overall is probably that our volumes in B&I, let's say, in Europe would be a touch negative, whereas we're seeing them perhaps a point positive in North America. I think that's the sort of delta that we see between the two regions.
Palmer Brown: On the European margin, in the second half, we do expect it to improve relative to the first half. However, we do also expect it to be negative for the full year. So not quite as significant as the first half, but still negative for the full year.
Richard Clarke: Good morning. Richard Clarke from Bernstein. A couple of questions for me. One on M&A, maybe if you can just sort of qualitatively say, what you bought and what's in the pipeline? What are you looking to buy? And then quantitatively, what impact does it had, I think if our - if I am not doing my numbers right, it looks like it added about 50, 60 basis points to - in organic growth, so what impact does the M&A had on margins? And then also on the U.K., also coming back to Europe. Last year, you had a big margin decline, I think you've mentioned 150 basis points and some delayed initiatives to offset that. Maybe you can give an update on the U.K. margins by using some of those cost-saving initiatives take hold this year?
Dominic Blakemore: I'll talk to the qualitative aspects of M&A and then Palmer can pick up on the numbers in the U.K. And specifically, we've got a good pipeline of opportunity. We're nearly £400 million of acquisitions in the first half, which is a stronger run rate than we'd have in recent years. At this point, most of those deals are in the U.S., that continue to be about 50-50, sort of GPO procurement-type businesses, where we're adding to our scale in Foodbuy and creating new channels of third-party volume, which we're really excited about. And then the balance has been sort of within our Canteen, vending and office coffee services where we seeking to create greater scale and greater geographic coverage in particular, which means that our national clients can get served with consistency and quality. We continue to see a good pipeline as we look forward. I think the extra focus on food is really helping us. I think we're identifying some really good food assets across the U.S., but also Europe and the U.K., and I think you should expect us to doing some deals there, but they will continue to be bolt-on, and they will continue to be in a manner that you've seen us do before.
Palmer Brown: In terms of the margins in Europe and the U.K., I think it's again largely consistent with what I had said earlier. Mobilization costs are quite high in both areas. The Hestia [ph] contract to give an example was obviously in the U.K. That's had an impact of about 70 basis points on margins within Europe. We do have the M&A benefit, the BSG business we sold. We've got a bit of a tailwind to margins there. The volume declines have had a drag on margins, particularly in the U.K. B&I business. So overall, it's a bit of a mixed bag, if you will. We do expect that to improve as we look ahead to the second half. And going forward, I think some of the contract wins that we've cited, again, we're eating the mobilization cost now, we're in a ramp-up phase that we'll have significant benefits as we look forward. So we expect a bit of a stabilization. But again, overall, in Europe, we expect it to be negative for the year.
Richard Clarke: Maybe just quantitatively on the M&A spend, what's been the booster revenue. I guess fairly small GPO star businesses, and any impact that's had on group for North American margin?
Palmer Brown: The M&A spend for the year is around £130 million annualized revenues. That happened largely in the second quarter, so you're not seeing much benefit in terms of revenues or impact overall in the first half there. We do expect to see an above-average margin from the M&A. That's largely been in North America, so as we look forward, I mean we're excited about the businesses we bought. We've got to do some work to them get integrated and up to speed, but we're excited about those and those have been as Dominic mentioned, vending, OCS, micro market, Foodbuy-related, consistent with what we've done in the past.
Dominic Blakemore: I would say it'll take us a bit of time and bit of cost to integrate, so that has an effect in the early months or first year of ownership, too.
Kean Marden: Morning. It's Kean Marden from Jefferies. Just first of all, would you be able to share your views on contribution to group organic revenue growth from price during the periods? And then what assessment do you have for food and labor cost inflation during that period? And then secondly, just continuing the point on non-core assets. The U.S. assets and the Rest of World assets that you've, I think now flagged as assets held for sale, can you give us an indication of what revenue is tied up with those that you expect to divest over the next six to 12 months?
Dominic Blakemore: They're all for you.
Palmer Brown: That's fine. I'll take them all. Overall, like-for-likes are just shy of 3% or so. The majority of that's going to be in price that you see. The inflation that we're seeing, we're still seeing significant labor inflation, most notably in the U.K., in the U.S., that's north of 4%. The food inflation, there's been a bit of take-up in the U.K., in North America, it's still relatively benign on the food front. In terms of the disposal program, yes, I think we've said we are reviewing up to 5% of revenues. That doesn't necessarily mean that we will dispose the 5% revenues. So just to clarify that, if you will. We have exited businesses with about £500 million of revenues thus far. This will continue into fiscal '20. So it's not something that will be fully complete this fiscal year, it will carry over a bit into fiscal '20. It's hard to quantify the exact amount or the timing of it for you. At this point, it's a bit lumpy and unpredictable. I think the best thing that we can do is just to flag it for you when it comes.
Kean Marden: So the [indiscernible] that was just - this wave include some of your higher margin, better-quality assets?
Palmer Brown: Yes. The overall take on margin with the disposal program is that it will be margin-neutral. So thus far, I mean we started with below average margin. The businesses that we are - we're looking at and in some processes and in some cases are above-average margin. So we do have that to deal with going forward. It will be reflective in valuations. And then overall trading, that we expect it to have a neutral impact as we look at it in around.
Dominic Blakemore: Any more questions from the floor? Any questions on the line? Very good, in which case, thank you all very much for attending and we'll see you at the Q3 or we'll speak to you at the Q3 trading update. Thanks. Bye.